Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2019 Quanex Building Products Corporation Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time. [Operator Instructions] As a reminder, today's program is being recorded.And now I'd like to introduce your host for today's program, Scott Zuehlke, Vice President, Investor Relations and Treasurer. Please go ahead, sir.
Scott Zuehlke: Thanks for joining the call this morning. On the call with me today is Bill Griffiths, our Chairman, President and Chief Executive Officer; Brent Korb, our Chief Financial Officer; and George Wilson, our Chief Operating Officer.This conference call will contain forward-looking statements and some discussion of non-GAAP measures. Forward-looking statements and guidance discussed on this call and in our earnings release are based on current expectations. Actual results or events may differ materially from such statements and guidance, and Quanex undertakes no obligation to update or revise any forward-looking statement to reflect new information or events. For more detailed description of our forward-looking statement disclaimer and a reconciliation of non-GAAP measure to the most directly comparable GAAP measures, please see our earnings release issued yesterday and posted to our website.I'll now turn the call over to Brent to discuss the financial results.
Brent Korb: Thanks, Scott. I'll begin with the review of the income statement and finish with comments on cash flow and the balance sheet, before handing the call over to Bill to provide some color on our performance and expectations for the rest of the year. We generated net sales of $218.2 million during the three months ended April 30, 2019 compared to $214.2 million for the three months ended April 30, 2018. The increase was mainly due to strong revenue growth in our European Fenestration segment, which was driven by above market growth and price increases related to raw material inflation recovery.We reported a net loss of $24 million or $0.73 per diluted share for the second quarter of 2019 compared to net income of $4.1 million or $0.12 per diluted share during the same period 2018. The decrease in reported earnings was primarily the result of a $30 million or $0.91 per share non-cash goodwill impairment in the North American Cabinet Components segment, mainly due to lower volume expectations related to the continued shift in the cabinet industry away from the semi-custom segment to the stock segment.On an adjusted basis, net income increased to $6.3 million or $0.19 per diluted share during the second quarter of 2019 compared to $4.8 million or $0.14 per diluted share during the second quarter of 2018. The adjustments being made for earnings per share are restructuring and related severance expenses, non-cash impairment charges, foreign currency transaction impacts, transaction and advisory fees, and adjustments related to the Tax Cuts and Jobs Act. On an adjusted basis, EBITDA for the quarter increased to $23.4 million compared to $21.7 million in the second quarter of last year. The increase in adjusted earnings year-over-year was primarily attributable to operational efficiency gains and the successful implementation of pricing initiatives.Moving on to cash flow and the balance sheet; cash provided by operating activities was $20.4 million for the three months ended April 30, 2019 compared to cash provided by operating activities of $13.4 million for the three months ended April 30, 2018. We generated free cash flow of $13.6 million in the second quarter of 2019, which is more than double the $6 million we generated during the same period of 2018. This allowed us to repay $5 million in bank debt during the quarter and repurchase approximately $2.7 million of common stock.Our leverage ratio of net debt to adjusted EBITDA decreased to 2.3 times. As of April 30, 2019, we had approximately $23.3 million remaining under our existing share repurchase program. We are confident in our ability to generate strong free cash flow in the second half of this year, and expect to continue paying down debt, while opportunistically buying back stock. We also continue to expect to exit fiscal 2019 with a net leverage ratio between 1.5 times to 2 times.I will now turn the call over to Bill.
Bill Griffiths: Thanks, Brent. We are pleased to report another strong quarter with revenue growth and margin expansion across all segments, combined with the doubling of free cash flow compared to the same period of last year. More specifically, our European Fenestration segment led the way again with revenue growth of more than 15% excluding foreign exchange impact and margin expansion of almost 400 basis points. Similar to last quarter, this performance was largely driven by above market growth and price increases implemented late last year.As you know, North America was plagued by poor weather across much of the country during the quarter. This negatively impacted results in both segments. Notwithstanding this, our North American Fenestration segment still outperform the market with revenue growth of 1% compared to Ducker's latest calendar first quarter window shipment estimate of negative 4%. Ducker recently reduced their full year 2019 window shipment growth estimate to 0.7%, down from 1.5%. During the first half of our fiscal year, our North American Fenestration segment has reported sales growth of 3.5%. We also realized 50 basis points of margin expansion in this segment in the second quarter.Moving on to our North American Cabinet Components segment, the semi-custom segment of the cabinet industry continues to be challenged with KCMA reporting negative 5.7% and negative 5.2% growth for the three and six months ended April 30, 2019. We outperformed the semi-custom market with growth of 0.3% and negative 1.6% for the three and six months ended April 30, 2019. Unfortunately, we expect negative sales growth in this segment for the remainder of the year, as comps get more difficult, and the shift from semi-custom to stock continues. Not surprisingly, this was the biggest driver of the impairment charge and the revision to our revenue guidance for fiscal 2019.On a positive note, however, efficiencies continue to improve, resulting in margin expansion of 110 basis points for the quarter. Assuming, we do see a continuation of negative single-digit growth in revenues in this segment during the second half of the year, we would expect margins to remain flat for this combined six-month period, with margin degradation in Q3 due to the tough comp, a margin expansion again in Q4. Despite the revenue headwinds in cabinets, on a consolidated basis, and excluding foreign exchange impact, we reported revenue growth of approximately 3.2% for the quarter, with a margin expansion of approximately 70 basis points. As Brent mentioned, free cash flow for the quarter was solid and more than doubled year-over-year to $13.6 million.Revenue growth for the six months ended April 30, 2019 was approximately 3.4% excluding foreign exchange impact, which is below the low end of our original revenue guidance. We expect a stronger second half in our North American Fenestration segment and continued strong growth in our European Fenestration segment. However, revenue headwinds are expected in our North American Cabinet Components segment.Our first half sales growth performance combined with our current expectations and outlook for the second half, mainly in our North American Cabinet Components segment have caused us to revise our fiscal 2019 revenue guidance down slightly to between 2% and 3% growth. Despite the lower growth expectations, we remain very confident in our original adjusted EBITDA guidance of $97 million to $107 million. We also expect to generate enough free cash flow in the second half to continue paying down bank debt and still expect to exit the year well below 2 times leverage ratio. We also expect to continue to opportunistically buyback stock at a similar rate to the first half repurchases.And now, operator, we're ready for questions.
Operator: [Operator Instructions] Our first question comes from the line of Daniel Moore from CJS Securities. Your question please.
Daniel Moore: Good morning. Thanks for taking my questions. Bill, Brent want to start -- and George start with EU Fenestration obviously continues to be really strong and taking share. Last quarter we thought maybe a little bit of inventory building going on ahead of Brexit, is your sense that still the case this quarter and maybe just talk about the underlying drivers there? And then if you could just break out the 7% growth FX between volume and price?
Bill Griffiths: So similar to last quarter, about half of the growth is really driven by the price actions we took late last year. And we do continue to take share, particularly at HL. We do not see any change in inventory build as a result of Brexit. I think that's finished, we did not see inventory drawdowns, I mean, hedge the strong growth profile there. So we're very pleased. We expect to see that continue through the balance of the year at this point.
Daniel Moore: And then shifting gears, the North American Cabinets, maybe just obviously you gave good color there and the shift towards stock. But that maybe you can give a little more detail on what you're seeing in the market and what if anything longer term, you can do to kind of shift as tastes [ph] and mix shifts there?
Bill Griffiths: Yes. Clearly, if you look at the KCMA data adjusted for our fiscal year, for the first six months of our fiscal year, the semi-custom market is down 5.2% and the stock segment is up 6%, and the full custom is about flat year-over-year. So clearly, the industry is trending in that direction. The forecast for the second half of the year are for similar numbers. And so while we continue to look at how can we do better inside the operations, it's prudent to at least flag we could see mid-single digit decreases in revenues particularly against some stronger comps as we go through the second half of the year. We are clearly looking at longer term strategies as to how to get better positioned in the stock segment, and the challenge of course is the price points in the margin profile is not necessarily as attractive. So we don't have an answer yet, but it's very much front and center of our long-term plan in particularly as we start getting into next year's operating plans.
Daniel Moore: Very helpful. Appreciate it, Bill. And one more and I'll jump out. Wood prices clearly coming down a little bit, maybe just talk about raw materials trends in general, and how much of an impact they may have had on gross margin in the quarter and the outlook going forward?
Bill Griffiths: I wouldn't say that raw materials in total had a material impact in improving profitability. It didn't hurt us, but it didn't help us significantly either. Most of the improvement is productivity and efficiency gains that are finally flowing through the P&L.
Daniel Moore: Helpful, appreciate it. And I'll jump out with any follow-ups. Thanks.
Operator: Thank you. Our next question comes from the line of Reuben Garner from Seaport Global Securities. Your question please.
Reuben Garner: Just a follow-up on the cabinets question. So -- or against your outlook, so you guys, I think, you said in the first half the cabinets data would have been down something like mid-single digits, and you guys clearly outperformed that. Is your expectation that the market may be down mid-single digits in the second half and you can outperform that. And if so, what's driving that outperformance on your end. Is there a difference in exposure between you and the overall industry data or it's something you're doing that's driving that outperformance?
Bill Griffiths: Well, it is a little bit of both actually, where it isn't as clear-cut that we are 100% semi-custom and zero stock. We clearly participate in that stock segment, but on a limited basis. So, I think, our ability to outperform the raw statistics is partly because of that, and partly some of it is driven by pricing actions that we took earlier in the year that are helping sort of improve our revenue profile over the market in general.
Reuben Garner: Okay, that's helpful. And then, I guess, outside of the -- I guess, secular pressures, if you will, on the cabinets side, what's your general outlook for the next six to 12 months as you're talking to customers just on R&R and new construction growth going forward?
Bill Griffiths: We're actually optimistic, and most of our customers, I would say, are perhaps even overly optimistic. Clearly weather impacted the first half of the year. There is a high expectation that both new construction and R&R is going to recover in the second half. Next year is kind of too far out to tell right now, but I think if we see interest rates either fall in or at least remaining static here, I think we're going to see a ground swell back towards the whole residential sector here. So we actually feel very good about where we are and what the outlook is for the second half, and we're optimistic for next year.
Reuben Garner: And then last one for me. So the margin expansion you talked about, some of your internal efforts starting to flow through. How much of the margin expansion in your guidance for the second half is kind of items within your control, whether it's savings from reorganization or things you've been working on the cabinets business? How much is within your control and how much is price cost, volume growth, etcetera?
Bill Griffiths: It's essentially the outlook for the balance of the year, any margin improvement is completely within our control. The only thing that we are nervous about is, if in fact, the cabinet business in semi-custom continues to deteriorate, and for whatever reason we can't beat the market, those volume declines are severe enough. It's going to be hard to continue to get expansion, probably can tread water, although as I said in the remarks, the third quarter comps are pretty strong compared to last year. So I think it's likely, we could actually see some margin shrinkage in cabinets, but we will recover that in Q4 when the comps are little easier.
Reuben Garner: Perfect. Thank you.
Operator: Thank you. Our next question comes from the line of Steven Ramsey from Thompson Research. Your question please.
Steven Ramsey: Good morning. Thinking on cabinets, you know, if we were to kind of think two years out from now, are you still working to get into that position where you can be equally as profitable on stock as semi-custom? And does the looming potential consolidation in the space and even tariffs now in Mexico, does that change where you think you can take the business over a 1-year to 2-year timeframe?
Bill Griffiths: No, we are still very confident and very optimistic about the profitability level in that business, particularly if we look out over the next two or three years. But we will adjust the mix shift accordingly, and we are working on plans to do that. And I think the whole tariff issue could end up being a positive for us. I think the worst case scenario we see is, this is a slightly smaller revenue business, but more profitable.
Steven Ramsey: Excellent. And can you share more on how tariffs end up being a positive for you?
Bill Griffiths: Yes, I think if the tariffs end up sticking or if there is no immediate end in sight to tariffs, it will drive more business back to the U.S., which is clearly a benefit for us, because I think you understand most of the cabinet manufacturers don't have a lot of excess capacity. And I think we will be a beneficiary, and we have clearly seen increased quotation activity, particularly as it relates to the Chinese tariffs and the anti-dumping case.
Steven Ramsey: And then last for me, stock movement, your stock that is not stock cabinets, but your stock moving up a good bit today clearly on good results. What zone does the stock price get less attractive for a buyback? And if that happens, do you build cash to maintain leverage? Or do you increase the ongoing dividend, even consider a special dividend, kind of, if the stock stays a little more permanently elevated here, how does that change your view on the buyback?
Bill Griffiths: Well, I think very clearly, the number one priority in the second half of the year, when we start generating some pretty serious cash is to continue to delever with a target of getting ultimately down to around 1.5 times. And depending what happens to the stock price here, if it continues to be strong, I think you'll see us buyback limited amounts of stock in preference to paying down debt. Assuming we do close the year as we expect, closer to 1.5 times, certainly below 2 times, and if the stock is performing as we think it should at the levels we expect to close the year at, then I think we'll have a nice problem to worry about next year in terms of what we do with our excess cash. I would say it's unlikely based on what we know today that we will do anything more with the dividend in the short term. But if 2020 looks like it's going to be a strong year relative to 2019, then I -- and with the strong stock price, I would expect this to hoard cash for a period of time. But that will be a very nice problem to worry about.
Steven Ramsey: All right, okay. Thanks so much.
Operator: Thank you. Our next question comes from the line of Julio Romero from Sidoti & Company. Your question please.
Julio Romero: Good morning. I wanted to start off with the screens and insulated glass spacer products. Can you just talk about the trends you're seeing there and how that kind of squares away with your expectation for revenue in the North American Fenestration for the year?
Bill Griffiths: Yes, we -- certainly in screens, we continue to take share. I think one of the reasons we're outperforming the Fenestration market is, as we have mentioned before, we are taking on some additional screen business. The spacer business continues to improve, not as rapidly as the other segments. And then the other portion of the outperformance to market in Fenestration is really additional business that's now in production in vinyl extrusions. So hence, our confidence level that we will see a stronger second half of the year, our customers are pretty optimistic that we'll see a bounce back here both in new construction and R&R once the weather clears. So we feel pretty good about where growth goes. It's just not going to be enough to offset potential negative growth in cabinets.
Julio Romero: Okay, understood. And then just switching gears over to cabinets, I guess, you saw some nice margin expansion despite the flat sales. Maybe talk about some of the underlying efficiencies you're seeing there, I know you've done some layout improvements. Is that -- is the improvement in margins driven by layout improvements or just any further color on what's going on in that segment?
Bill Griffiths: Yes, it's a combination. As you well know, we've put a lot of effort in the productivity in general, layouts, automation and just general efficiency gains along with some pricing we put in place in the earlier part of this year. That combination is really driven that margin expansion, and we've -- I think been pretty transparent about the opportunity that still exists in cabinets to improve the profitability. We've been slow getting there, but I think we are finally starting to see it and it's kind of unfortunate that we may have negative growth in the second half of the year. But I think even with that, we'll be able to hold margins flat. I wouldn't expect a complete second half margin shrinkage. We may not be able to expand margins much further though, and that's the second half combined, as I said, Q3 has a pretty tough comp. I doubt we're going to be able to beat that.
Julio Romero: And maybe just more broadly piggybacking on the question earlier about the potential divestiture activity from the OEMs and the consolidation there. Just how are you guys thinking about the potential changes in the value chain and potential opportunities and threats that can come from that?
Bill Griffiths: Yes, we -- I don't want to talk too much directly about our customers. Obviously, we are very close to all of them and kind of like we've seen in windows, our expectation is for the most part that as consolidation continues to take place, we will not be harmed by that. And I think you have to look at it in terms of the current capacity at our customer's facilities combined with our ability to produce more product simply because we've continued to drive down our cost structure, improve productivity. So we're actually freeing up capacity as we get more profitable. So we have the ability here to take on incremental business whereas even with the consolidation, most of our customers do not, now there maybe some exceptions to that, we'll see how it plays out, but we're obviously monitoring it very closely. It is not something that keeps us awake at night. So, I think, by the time all is said and done, there will be as many opportunities as there will be risks, so we're not concerned about it. We still think this is a good space to be in over the next several years.
Julio Romero: Okay, very good. And just lastly for me, SG&A outlook, can you just talk about the outlook for the year and what the cadence might be for the next two quarters? Thank you.
Brent Korb: Yes, I mean, I think, when you look at last year's -- last year's SG&A is about $103.5 million, we're kind of in that level, is it $103 million, $105 million range in terms of how that flows over the back half of the year pretty consistent Q3, Q4 levels in the $25 million plus range. So pretty even in these past two quarters.
Julio Romero: Okay, that's helpful. Thank you for taking the questions and best of luck in the back half of the year.
Bill Griffiths: Thank you.
Operator: Thank you. Our next question comes from the line of Ken Jenner [ph] from KeyBanc. Your question please.
Unidentified Analyst: Good morning, gentlemen. So I think the SG&A guidance you just gave was a bit down from what you guys had before, been dollar value. I assume that's associated with your lower revenue, and/or there cost actions that you guys are taking?
Brent Korb: No, I mean it's slightly down. I think we talked about $105 million before. So it's kind of $103 million to $105 million. We took some actions in the first quarter -- in the first quarter that, obviously, we've seen some benefit from here in Q2, and would expect to continue in the back half of the year.
Unidentified Analyst: Sorry, I said [indiscernible]. Now, EU is very impressive. What's happening there in terms of margins? I believe, and I could be mistaken, but I think you guys beat your margin guidance that you gave back in, you know, on the last quarter. Could you talk about what the factors were there and why you think that business is doing so, given all the noise. I don't know if that's right term, that we're hearing from the UK?
Bill Griffiths: Yes. So a good part of it is, we put price increases through at the end of last year that kind of caught up with rising input costs, both in the spacer business and in the vinyl profile business. Since then in Europe, in particular, both of those cost increases have abated. And in fact some of the costs are coming back down, but we've maintained price levels, because if you recall, Ken, there are no contractual pass-throughs in Europe. So we've enjoyed some margin expansion as a result of that. I think the reason that this business outperforms the general economy is when a window fails, you have to replace it. And because the infrastructure is so old and the replacement cycle continues there. It's a little bit insulated from the general economy. In addition of which remember almost all of our business in Europe, particularly in the UK is repaired and remodeled. Almost none of it, is tied to new construction. So I think the combination of all of those things, plus there are a couple of competitors that are having some challenging times in the UK in particular, and we are gaining some market share. So in this case, we have all three things working in our favor. That's why the exceptional performance.
Unidentified Analyst: And thank you for that, that's very useful. Sticking with that, I mean, could you give us, I don't know where your share is now, versus let's say, at the time of acquisition. I mean if you think about that way so we can understand how your success is relative to peers?
Bill Griffiths: Yes, there are about six, all that started out a couple of years ago with very similar market share. So, all in the low to mid-teens, and we've improved by 1% or 2% relative to some others over that period of time.
Unidentified Analyst: So it sounds like it's really your pricing, and it's okay. In the U.S. obviously cabinets has taken companies that are in the space larger than yourself by surprise on this mix shift. But in terms of the Fenestration, and I believe recent share gains with some old customers on the extrusion side, could you maybe update us there in terms of how oil might be flowing through, your input costs and your customers coming back to you and how that's helping your utilization? Thank you very much.
Bill Griffiths: Yes, we haven't seen much in the way of raw material price escalation. And if we do see particularly on the resin side, it's a pass-through anyway, so that shouldn't have a material effect on us. I think, we are now in full production with one customer that started ramping up at the beginning of this year. We'll see that continued utilization through the back half. We have another customer is not yet in production. We're still going through pre-production trials. We'll see some improvement in Q3, but full ramp up in Q4 . So that clearly will help us on the Fenestration side as well. The screen, a business we continue to get awarded, but relatively small dollar amounts. So those two combined really put together all the bulk of our share improvement in the Fenestration side. But we feel pretty good about where that's heading for the future.
Unidentified Analyst: Thank you very much.
Operator: Thank you. Our next question comes from the line of Daniel Moore from CJS Securities. Your question please.
Daniel Moore: Thanks, again. Just housekeeping, obviously confident about cash flow coming in really strong in the back half. Are we still looking at cash flow from ops in the $50 million to $55 million range and CapEx $25 million to $30 million, any changes there?
Brent Korb: No changes for free cash flow in that level, yes, and CapEx, no changes to any of those forecast at this point, right.
Daniel Moore: Perfect. Okay, thank you.
Operator: Thank you. This does conclude the question-and-answer session of today's program. I would like to hand the program back to Bill Griffiths for any further remarks.
Bill Griffiths: Thanks everyone for joining the call, and we look forward to speaking to you next quarter. Thank you, and good bye.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.